Operator: Welcome to News Corp's Second Quarter Fiscal 2024 Earnings Conference Call. Today's conference is being recorded. Media will be allowed on a listen-only basis. At this time, I would like to turn the conference over to Michael Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, operator. Hello, everyone, and welcome to News Corp's Fiscal Second Quarter 2024 Earnings Call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We'll open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in the earnings releases for the applicable periods posted on our website. With that, I'll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. For the second quarter in succession, News Corp has achieved growth in both revenue and profitability. And we believe there are strong prospects for further growth as difficult, inauspicious macroeconomic conditions ease in some of our markets. We saw particularly robust results across the 3 core pillars of our company: Dow Jones, Book Publishing and Digital Real Estate Services, where there was a resounding improvement in Australia in Q2. And there are early signs of recovery in the U.S. residential sector after the most sluggish market conditions in almost 3 decades. Given the potential of our world-leading brands, we remain intent on creating long-term value for investors. And as part of our commitment, our diligent, concerted review of the company's structure continues apace. Looking at the top line results. News Corp's second quarter revenues rose 3% to $2.6 billion, and profitability surged 16%, marking the third consecutive quarter of profit growth in testing economic times. Our net income for the quarter rose to $183 million from $94 million in the same quarter last year, while our reported EPS was $0.27 against $0.12 for the same period last year. The company's digital progress and prowess are increasingly evident. Halfway through fiscal 2024, digital now comprises approximately 52% of all revenues. That is more than an e-evolution. It is an e-revolution, one that has touched and transformed every element of every business, and we're far from satisfied, far from complacent, far from completion. We are seeing the collective benefit of our conscious strategic shift away from potentially volatile advertising revenues to growth in circulation and subscription revenues. In fiscal 2014, nearly half of News Corp revenues were from advertising, with  31% from circulation and subscriptions. There has been a fundamental metamorphosis. In the first half of the fiscal year, advertising had preceded to 16%, with circulation of subscriptions surging to 44%. Overall, News Corp as of Q2 had over 7 million subscriptions to our news brands, including The Wall Street Journal, Barron's, The Times and Sunday Times, The Australian and other publications. And we have an additional 4.3 million paid subscribers at Foxtel in Australia, which includes our popular streaming services Kayo and BINGE. And those figures don't include the growing number of loyal subscribers at our professional information business at Dow Jones, where the average retention rate is comfortably above 90%. Artificial intelligence, with all its permutations and perturbations, will play an increasingly important role at most businesses. We expect to be a core content provider for generative AI companies who need the highest quality, timely content to ensure the relevance of their products. The corny, callow cliche is that AI companies are selling the picks and shovels during the seeming gold rush. Well, we're selectively reselling gold nuggets and those crucial negotiations are at an advanced stage. It is reassuring that certain digital companies appreciate the value of integrity, quality and creativity. And while certain other media companies prefer litigation, we prefer consultation as the former is merely creating a gold rush for lawyers. Courtship is preferable to courtrooms. We are wooing, not suing. But let's be clear, in my view, those who are repurposing our content without approval are stealing. They are undermining creativity. Counterfeiting is not creating, and the AI world is replete with content counterfeiters. I would like to compliment Sam Altman of OpenAI, who has shown a clear understanding of the social importance of journalism. He also appears to have emerged unscathed from his first visit to Davos, where there is always attitude at altitude. We are hopeful that, again, News Corp will be able to set meaningful global precedence with digital companies that will assist journalists and journalism and ensure that gen AI is not fueled by digital [indiscernible]. We speak of the AI hallucinating, yet we, as a society, are hallucinating if we don't focus firmly on provenance at a time when even the very words misinformation and disinformation have themselves become sources of misinformation and disinformation. Too many media companies are scanning the landscape and presuming that they have a glimpse of the future and yet they cannot distinguish between trendiness and actual trends. Too many media companies for too long have been guilty of the Abilene paradox. Before I turn to the results in detail, I must mention once again our colleague, Evan Gershkovich, who continues to be unjustly detained in a Moscow prison. He has been incarcerated for almost a year solely for being a highly professional journalist. We, at News Corp, and of course, Evan's family and many friends, hope that justice will prevail and that he will be released immediately. I would like to personally thank all those who publicly and not so publicly have been working diligently to secure his emancipation. Turning now to Dow Jones, which yet again achieved its highest level of quarterly revenues and profitability since News Corp's acquisition. That result is thanks to solid performance across the business, most notably in the increasingly successful professional information business, which remains on track to be the largest contributor to profitability at Dow Jones this fiscal year. The Professional Information Business is seeing robust growth due to the integration of OPIS, which was completed ahead of schedule; and CMA, which is near complete. I would like to compliment, in particular, the News Corp Finance team for masterminding, executing and delivering the OPIS and Base Chemicals deals, which have been so critical to Dow Jones burgeoning growth. Executives at Dow Jones are far from smug and are building a bevy of new and compelling products. For example, OPIS' AnalyticsPro utilizes our database of more than 130,000 fuel stations to track visits and help customers assess their pricing strategies and market trends as well as compile customer loyalty rates and demographics, among other valuable, actionable data points. Meanwhile, Risk & Compliance's financial instruments product in partnership with BigTXN provides a fleet of R&C-sanctioned profiles mapped to commonly used financial instruments, which is crucial compliance cartography in a heavily regulated world. And DJ Integrity Check, our partnership with [ Sapien ], provides generative AI-driven insight into companies and relevant potentially problematic individuals. Subscriptions at the news business are continuing to grow. And during the month of January, average daily digital subscriptions to Dow Jones portfolio, including The Wall Street Journal, Barron's, MarketWatch and Investor's Business Daily, reached over 4.9 million, which represents more than double the pre-COVID average level of 2.4 million digital subscriptions in Q2 fiscal '20. The acceleration of digital subscription growth has been driven in part by the team's bundling of products, which is designed to increase reader engagement and reduce long-term churn. While we have purposely shifted emphasis to recurring revenues at Dow Jones, we are happy to report that although we faced some challenges in print advertising, digital advertising grew year-over-year for the first time since the first quarter of fiscal 2023. This positive result has been driven primarily by growth in the tech and automotive sectors and most notably at wsj.com. Digital Real Estate Services had a strong quarter, thanks largely to the prospering of REA, where there was 22% revenue growth year-over-year, fueled by an 8% increase in listings with heightened activity in the core Melbourne and Sydney markets and higher pricing. REA India continues to expand rapidly and reported over 19 million monthly average unique visitors in December, solidifying its lead as the foremost digital housing platform in the world's most populous country, where strong economic growth and political stability have created a platform for further expansion. At Move, realtor.com, continued to be affected by the high U.S. interest rates that have undermined activity in the market. But mortgage rates are beginning to moderate. And in recent weeks, there have been early signs of an increase in all important leads. The National Association of Realtors announced that the index for pending home sales increased just over 8% in December versus the prior year, the largest increase since June 2020. Realtor.com's latest housing report revealed that January marked the third consecutive month of year-over-year inventory growth, with a 2.8% increase in newly listed homes for sale compared to January 2023. Unique users at REALTOR have also stabilized, with December comScore data signaling a return to growth. During the downturn, the realtor.com team has been assiduously improving the user experience, broadening the portfolio of products for our customers and bolstering the back-end technology, so we are poised to take full advantage of the incipient recovery in the U.S. housing market. HarperCollins had stellar results for the second successive quarter. This was thanks to strength in both the front list and the back list, notably in the blossoming audiobooks category. We saw 15% digital revenue growth in the quarter, fueled by a 29% audiobooks sales increase due to a flourishing market and our new partnership with Spotify. Spotify appears to be expanding demand for audiobooks and opening the category up to new consumers. I would like to commend our thoughtful partner, Daniel Ek, for his commitment to creativity. In Q2, we saw success with bestsellers like The Pioneer Woman Cooks—, Dinner's Ready! by Ree Drummond; The Little Liar by Mitch Albom; Ann Patchett's Tom Lake; and Barbara Kingsolver's Demon Copperhead. We also saw strong sales for Christian books, including The Great Disappearance by Dr. David Jeremiah, who is Rapture Ready, and The Bible itself. Looking ahead to Q3, we have great expectations for, among others, A.J. Finn's End of Story and I Am More Than by LeBron James. At Subscription Video Services, our new streaming aggregation product, Hubbl, is expected to launch next month and improve the search experience for our cherished customers seeking entertainment and sports. We believe Hubbl will be the most effective conduit between consumer and content and add to the Foxtel success story. In a volatile world, Foxtel has achieved 8 consecutive quarters of revenue growth in constant currency, while being acutely and astutely cost conscious in managing the transition to streaming. At Kayo, we are looking forward to the upcoming winter sports season for Australian rules football and Rugby League, the 2 dominant sports. And at BINGE, there has been early success with advertising at the basic tier while continuing ad-free service for premium customers. In News Media, our news brands have seen improvement in traffic in recent weeks, a turnaround after convulsions in the first half, where there were algorithmic aberrations. Gratifyingly, we experienced digital subscription growth during the quarter. Rebekah Brooks and her team at News U.K., have overseen continuing progress at The Times and Sunday Times, which set a new record for the quarter in digital subscriptions, at 575,000, and saw significant digital ad growth, up 21% on a reported basis and over 15% in local currency. We expect the success of The Times to continue beyond Britain's borders with the imminent digital launch of The Times in the U.S. We are confident that it will resonate with discerning readers hungry for objective news coverage in a market saturated with narrative non-journalism. At News Corp Australia, news.com.au was again the country's leading news web with nearly 13 million monthly uniques in December according to metrics from Ipsos. And The New York Post is again on course to be profitable and has expanded its positive political influence in these vexed and vexing times. With the strong results in Q2 and Q1, we are off to a sterling start in fiscal year 2024, which follows the 3 most profitable years for the new News Corp. We can sense that investors are beginning to appreciate keenly the value of our brands and the potential of our portfolio. On behalf of all our investors, we have transformed free cash flow generation, bolstered our balance sheet, initiated a dividend and are continuing our $1 billion buyback plan. For that transformative success, I would like to pay tribute to the strategic support of Rupert and Lachlan Murdoch, and to our highly engaged Directors and to the commitment of our employees around the world. I am now pleased to turn to my talented colleague, Susan Panuccio, who will elaborate on these bouyant results.
Susan Panuccio: Thank you, Robert, and good afternoon to everyone. As Robert mentioned, we had a strong second quarter, resulting in first half year-over-year improvements in both profitability and revenues. We continue to transform the company and move towards higher recurring and digital revenues, together with exercising strong capital allocation discipline and balancing reinvestment across the portfolio with ongoing fixed cost reductions. Our second quarter total revenues were $2.6 billion, up 3% compared to the prior year, an increase from the 1% growth delivered in the first quarter. Adjusted revenues grew 2% compared to the prior year. Total segment EBITDA was $473 million for the quarter, up 16% compared to the prior year, driven by strong performances across our 3 key growth pillars: Book Publishing, Digital Real Estate Services and Dow Jones, which all posted double-digit profit gains. In fact, in the aggregate, those key segments delivered 24% profitability growth this quarter. Our second quarter total segment EBITDA was also the highest in 2 years. Adjusted total segment EBITDA grew 14% versus the prior year. For the quarter, we reported earnings per share of $0.27 compared to $0.12 in the prior year. Adjusted earnings per share were $0.26 in the quarter compared to $0.14 in the prior year. Moving on to the results for the individual reporting segments, starting with Digital Real Estate Services. Segment revenues were for $419 million, up 9%, a notable improvement from the first quarter rate and a return to revenue growth for the first time since the fourth quarter of financial year 2022. On an adjusted basis, segment revenues rose 8%. Segment EBITDA rose an impressive 15% to $147 million due to a higher contribution from the REA Group, partially offset by revenue headwinds at Move. Adjusted segment EBITDA rose a healthy 16%. REA had another very strong quarter with revenues rising 22% year-on-year on a reported basis to a quarterly record of $292 million with minimal impact from foreign exchange. Growth was again primarily driven by residential yield increases, improved growth in national listings, favorable geographic mix and customer contract upgrades. Overall, new buy listings rose approximately 8%, with Melbourne up 24% and Sydney up 22%. Please refer to REA's earnings release and their conference call, which will commence directly after ours for more details. Move's revenues of $127 million were down 13% compared to the prior year, with declines moderating from recent quarters. For the quarter, real estate revenues fell 14%, driven by lower lead and transaction volumes, reflective of the broader industry trends. Lead volumes fell 7% year-over-year, with December improving to down just 2%, benefiting from a combination of easier comparisons as well as recent declines in mortgage rates. Average monthly unique users for the quarter were flat compared to the prior year, at 66 million. The U.S. housing environment remains tough, with existing home sales hitting 30-year lows, although we are hopeful the market will start to show improvement in the second half given recent declines in mortgage rates. That said, irrespective of any market considerations, we are determined to strengthen realtor.com's product and content offering so it's best positioned for success when the housing market improves. To that end, the realtor.com team is focused on executing several key strategic priorities, which include modernizing the technology platform to help with unifying the customer experience across all platforms; creating unique and scaled data for proprietary content to assist with increased personalization; leveraging News Corp's network in relation to AI initiatives and capturing audience share; and accelerating the diversification of revenues with a greater focus on the sell-side offering. Turning to the Subscription Video Services segment. Revenues for the quarter were $470 million, up 2% compared to the prior year. On an adjusted basis, revenues rose 3% versus the prior year. Streaming revenues accounted for 29% of circulation and subscription revenues versus 26% in the prior year. Total closing paid subscribers across the Foxtel Group were over 4.3 million a quarter and flat with the prior year. Total paid streaming subscribers were 2.8 million, increasing 4% versus the prior year, although declining sequentially due to seasonality at Kayo, tougher financial conditions caused by the inflationary environment for consumers and a weaker sports cycle. Foxtel ended the quarter with 1.3 million residential broadcast subscribers, down 9% year-over-year. Broadcast churn was flat at 12.9%, despite the final migration of cable in October. While broadcast ARPU rose 3% to approximately AUD 86, helped in part by a price rise for non-platinum subscribers implemented in July. Segment EBITDA in the quarter of $77 million was down 14% versus the prior year, driven by contractual price escalators in Foxtel sports rights agreements and $10 million related to the upcoming launch of Hubbl, partially offset by higher revenues and lower technology and marketing costs. Adjusted segment EBITDA declined 13%. Moving on to Dow Jones. As Robert mentioned, the second quarter results delivered the highest quarterly revenue and segment EBITDA performance since the acquisition of Dow Jones over 15 years ago. Dow Jones delivered revenues of $584 million, up 4% year-over-year, which made Dow Jones the highest segment revenue contributor for the quarter for the first time since it was resegmented. Digital revenues accounted for 78% of total revenues this quarter, up 2 percentage points from last year. Circulation and subscription-based revenues represented almost 76% of total revenues, up approximately 2 percentage points from the prior year, reinforcing the stability and recurring nature of the revenue base. On an adjusted basis, revenues grew 3%. We saw very strong growth at PIB, with revenues rising 13% year-over-year, including 16% growth at Risk & Compliance to $72 million and 15% growth at Dow Jones Energy to $62 million. Factiva again posted growth, benefiting from a new licensing deal. Total PIB retention rates remain very strong at over 90%. We are continuing to review our disclosures with the primary focus on increasing transparency to help the market appropriately value Dow Jones. To that end, we are now providing revenues for both Risk & Compliance and Dow Jones Energy in the 10-Q. Within the Dow Jones consumer business, circulation revenues were flat versus the prior year, with digital-only subscriptions growing 15% year-over-year or by 135,000 sequentially, driven by an increased focus on the Dow Jones bundling offer as they look to better leverage subscription acquisition costs across multiple products, capitalize on minimal overlap between products and drive greater engagement. Bundling accounted for over 70% of the incremental digital-only volume growth in quarter 2. Advertising revenues declined 4% to $126 million, relatively stable with the first quarter rate, although digital returned to year-over-year revenue growth for the first time since the first quarter of financial year '23, rising 1%, driven by strength in the technology and auto categories. Print declined 11% due to weaknesses in financial services. Digital represented 62% of advertising revenues, up 59% last year. Dow Jones segment EBITDA for the quarter grew 17% to $163 million and was the largest segment EBITDA contributor, with margins improving 320 basis points to 27.9%, driven by the strong B2B performance, which remains on track to be the largest contributor to Dow Jones profitability in fiscal 2024. Cost declined about 1%, driven by headcount reductions and lower newsprint production and distribution costs, in addition to phasing of sales and marketing expenditure. At Book Publishing, financial performance, again, meaningfully exceeded our expectations, particularly in profitability. Revenues were $550 million, up 4%, while segment EBITDA improved 67% to $85 million compared to the prior year. Margins increased by almost 600 basis points to 15.5%. The strong performance this quarter benefited from the success of some key frontlist titles, as Robert mentioned, and saw improvement in backlist sales, including a notable increase from Christian Publishing. Return rates again improved materially due to better sell-through compared to last year, while inventory levels appear to have normalized across our distribution network. Inflationary costs moderated with lower manufacturing costs, helped by product mix and lower freight and distribution costs this quarter. The backlist contributed 60% of revenues, up from 57% last year, while digital sales rose 15% this quarter and accounted for 21% of consumer sales. Downloadable audio accounted for nearly 50% of digital sales, a record high, and we are pleased with the early positive signs from our partnership with Spotify, which generated incremental digital revenues and EBITDA this quarter. As way of background, Spotify is a usage-based model, not a pooled model. On an adjusted basis, revenues gained 2% and segment EBITDA rose 65%. Turning to News Media. Performance in this segment was more challenged. Revenues were $563 million, down 3% versus the prior year, while adjusted revenues declined 5%. Advertising declined 9% and was down 11% in constant currency, while circulation and subscription rose 5% and was up 2% in constant currency, benefiting from cover price increases. Advertising remained particularly challenged, with digital advertising trends again negatively impacted by the lower traffic at several mastheads related to changes in algorithms at the large platforms. That said, as Robert noted encouragingly, we are seeing some recovery in recent weeks, particularly at The Sun in the U.S. Segment EBITDA of $52 million, declined $7 million, which was due to the lower revenue, partly offset by lower print volume and newsprint expense and lower spend at talkTV. Adjusted segment EBITDA declined 15%. As for the outlook, similar to our comments last quarter, it is challenging to forecast in the short term, albeit economic conditions vary across markets. Looking at each of our segments. At Digital Real Estate Services, Australian residential new buy listings for January grew 12%. Please refer to REA for a more specific outlook commentary. At Move, we hope to see continued improvements in lead volumes, with January up 1% year-over-year, given recent declines in borrowing costs, albeit off low prior-year comparisons. As we mentioned last quarter, we are expecting some reinvestment in marketing and product development in the second half, increasing from depressed levels last year, which will be partially offset by cost reductions elsewhere. In Subscription Video Services, as mentioned last quarter, we continue to expect modestly higher expenses for the full year, ongoing inflationary pressures, fewer new releases across entertainment due to the writers and actors' strike and a weaker summer sports schedule has created some softness in streaming revenues, which may impact full year profitability in local currency. At Dow Jones, we expect strong revenue and profitability performance, underpinned by the transformation of our B2B offerings, and as mentioned previously, continue to expect modestly higher overall expenses for the full year. At Book Publishing, overall industry revenue trends remain relatively stable, and we are encouraged by the strength in the downloadable audio. We continue to expect margins to improve versus the prior year. At News Media, advertising revenue trends remain challenging, particularly in Australia, and we will continue to focus on ongoing cost efficiencies. Finally, given the current spot rate for the Australian dollar versus the U.S. dollar, we do expect some negative translation in the third quarter. With that, let me hand it over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from David Karnovsky from JPMorgan.
David Karnovsky: I guess, firstly, the AI topic. Robert, you noted in the release you expect to be a core content provider for gen AI companies. Maybe you can speak a bit to current negotiations, what are the key sticking points, key priorities for you, or even the red lines for News Corp as you engage on this?
Robert Thomson: Yes, David. Obviously, there's confidential negotiations, and so I can't go into too much detail. I mean it is fair to say that we've been leading the intellectual debate among media companies on AI. And also fair to say that we're probably leading the commercial discussions. I mean, 17 years ago, when prestige-craving media executives were sashaying with Silicon Valley, we were raising doubts, doubts about Providence but also about the baleful impact on vulnerable young people and the smartest engineers on the planet creating compulsive-addictive experiences. Anyway, we're certainly not naive as well about the potentially positive and negative impacts of AI on our journalism, our creativity, our content. We've had almost 2 decades of distribution, dominating creation and almost 60%-or-so journalists have lost jobs in the U.S. And candidly, unfortunately, a certain percentage of that is down to journalistic pomposity and price consciousness, not audience consciousness and relevance consciousness. But AI is a hypereffective form of -- or gen AI is a hypereffective form of derivative distribution. It's retrospective, not prospective. And the thoughtful AI companies understand that fact. And so that's why on this occasion, I would like to highlight the thoughtfulness of Sam Altman. Thoughtful people do understand that counterfeiting is not creating. And crucially, in this exceedingly erratic era, we have deep facts, not deep fakes.
Operator: Our next question comes from Entcho Raykovski from Evans & Partners.
Entcho Raykovski: Maybe if I can pick up on the generative AI question as well. I appreciate there's only so much you can say, but how do you think about the potential payments which could come for the value of your content relative to what you're currently receiving from the digital platforms? Is it a similar sort of quantum? Could it be even a greater quantum over time? At least on a relative basis, I'd be interested in how you're thinking about it. And longer term, do you expect that those payments from the digital platforms will all continue to come through?
Robert Thomson: Entcho, I'm sorry to be evasive, but I simply can't comment on the content and the negotiations. But I can say they're at an advanced stage and we are dealing with willing partners.
Operator: The next question comes from Kane Hannan from Goldman Sachs.
Kane Hannan: Maybe just Dow Jones. I think the costs were down about $3 million in the quarter. Can you just talk a bit more about the Dow Jones cost base, whether we can extrapolate that sort of performance going forward? And maybe as a follow-on to that, just the Professional Information Services within Dow Jones. I mean, obviously, appreciate the extra disclosure. Did that business see margin expansion in the quarter? Or is the strong margin expansion, the Dow Jones overall, more of a mix and cost out in the other businesses?
Susan Panuccio: Kane, welcome back. Look, just in relation to the costs, we did see a pretty good cost performance for the first half of Dow Jones. And I think like all our businesses, they are pretty cost-focused. So they do constantly have a look at transformation opportunities within the business, and they certainly participated in the 5% headcount reduction and they're getting the benefit of that. But like all the businesses, we do like to invest in them. So we do see variable costs going up as the revenue scales. They've had inflationary costs in relation to headcount, and we'll continue to invest in headcount given the growth in that business. In the second half of the year, we would expect to see some phasing and additional costs coming through from marketing. We do tend to have seasonally higher net adds in the second half than we do in the first half. And so that typically warrants some additional marketing costs. So that's sort of in relation to the cost base. And then in relation to PIB, we don't give out the margins, as you know. But the PIB margins did improve for the quarter, which was really pleasing to see as they continue to scale that business. And as we said in our prepared remarks, for the full year, we're continuing to expect to see the majority of the profit come from the PIB segment.
Robert Thomson: Yes. And just to supplement Susan's answer, obviously, PIB is a priority for Dow Jones and for News Corp. And we are providing more visibility overall about Dow Jones because it's such a positive story. And frankly, the more you see, the more you will like. I mean overall, the margin at Dow Jones has risen from 24.7% a year ago to 27.9%. And now that we're lapping the purchases of OPIS and CMA, the strong growth rates are clear at these companies, which we have grouped into Dow Jones Energy, where revenues expanded by 15%. And it is also, though, worth noting the result of the always burgeoning Risk & Compliance segment where revenues rose 16%. In short, these are high-margin recurring businesses, providing essential services and thus have renewal rates well north of 90%.
Operator: Our next question comes from Craig Huber from Huber Research.
Craig Huber: Great. I wanted to ask on the portfolio review and simplification announced that you mentioned 3 months ago and you briefly touched on it today, can you just give us a further update? I'm just curious on the timing of this. I mean I personally didn't expect a major announcement within just the first 3 months. But also the flip side, I don't -- won't expect it to take another 6-plus months from this stage going forward. Can you just give investors a little sense of the timing there? I mean I assume you guys did a lot of work behind the scenes before you even talked about it 3 months ago in your conference call. You've certainly done some -- I'm sure some of these in last 3 months. Just give us a little bit sense of the timing when we might get an announcement here, please?
Robert Thomson: Craig, your presumption about preparation is not ill-conceived, but this being a rather sophisticated audience, one which understands the nuances of phrases and the subtleties of the SEC, you can take the words I used in my statement as purposefully delivered. There is clearly much introspection, not casual, not peripheral, but significant, serious introspection about structure. And it's functional, not emotional. And the prevailing truth is that we have created options for our shareholders, and that's a tribute to all at News Corp, with the active support of an enlightened Board and leadership from Rupert and Lachlan and the efforts of our employees around the world. Let us not forget that misguided investment bankers were decidedly downbeat at the time of the split a decade ago. And now, however, the discussion is how to get full value from, how to fully monetize a precious, prestigious portfolio that has an obvious growth trajectory. That is indeed not an evolution, but a revolution.
Operator: Our next question comes from Lucy Huang from UBS.
Lucy Huang: My question is on PIB as well. Given we're kind of getting through the end of the integration of OPIS and CMA, just wondering strategically how you're thinking about the growth in this business? And are there any other data sets that you would be looking to maybe build out or acquire over time? Like are there intentions or, I guess, capabilities you'll like to plug with PIB?
Robert Thomson: Lucy, obviously, we're pleased with the progress of the PIB business. And as I said, you can see the overall increase in margin at Dow Jones, and that is to a large extent due to the success of the PIB businesses. I can't go into any more details about what our plans are, but needless to say, PIB is core to Dow Jones and it's core to News Corp.
Susan Panuccio: And Lucy, what I say is that the thing that's great about PIB and the energy businesses is that the new products can leverage the existing data sets that we have, so the pricing, reporting, analytics and newsletters and they can draw off a lot of the core data that we have. So I think that's fantastic. And I think Robert's mentioned in previous quarters, we've got areas like renewables that are coming in that we really think that could provide an exciting opportunity for us.
Operator: Our next question comes from Brian Han from Morningstar.
Brian Han: Susan, I noticed the second quarter PCP growth in Books' EBITDA is exactly the same as the first quarter PCP growth. Both exactly, I think, 2/3 up on prior period. Is there some sort of a contracted step-up in earnings for Books or is that just pure coincidence?
Susan Panuccio: I'd like to think they would be at that level, but no. No, I think it's just a coincidence. Look, we -- as we sort of said in the remarks, the Book Publishing segment has continued to exceed our expectations. And look, it's partly because we've had a return to more stability in the revenue post-COVID. So the returns have settled down and the market has settled down a little bit. And it's also partly because of the great work that the HarperCollins team has done in relation to their cost base. I mean they faced some pretty challenging conditions last year. And they also took the opportunity to push through some price rises on books. So a combination of all of that has really helped with putting the good results in for the first half. Look, I think across the full year, we're still expecting margins to be sort of in the low double digits, a good improvement from the prior year, but probably not to the levels that we've seen in the first half.
Operator: Our next question comes from Darren Leung from Macquarie.
Darren Leung: I just wanted to ask a bit about the cost-out program. Can you give us a feel as to how much has been completed so far this fiscal year of the previous $160 million number? And just a feel for -- do you expect more of it to be weighted in third quarter or fourth quarter? Or maybe another way to ask the question is what divisions should we expect to see a lot of this cost-out come from, please?
Susan Panuccio: Yes. Look, it's pleasing to say that actually, we quoted, I think, $160 million number in relation to that cost-out program, and we are going to exceed that number. And actually, from a run rate perspective, we're pretty much there already. We have said in previous statements, though, that's the gross cost savings. And we do have reinvestments across our businesses, as you can see within Dow Jones, within our REA. We're investing in Move, in Foxtel with the Hubbl launch. And so that is the gross cost savings. What I would say is notwithstanding that we are always looking at cost savings across our businesses. And so that was pertaining just to headcount reductions. We're constantly looking at our cost base and our workflows and our efficiencies, and we do continue to drive greater savings on that, which helps us reinvest in these businesses.
Robert Thomson: And Darren, I'd just like to supplement Susan's point. We are not going to let these excellent results in any way induce complacency in the company. All the teams are extremely cost conscious. And we're already seeing very interesting trends in the ability of AI to reduce costs related to technology spend, to the creation of code, to the cultivation of code. And so not only are we going to be pursuing our conventional costs, but we're looking ahead and trying to make the most of new developments.
Operator: [Operator Instructions] At this time, we have no further questions. I'll now hand over to Michael Florin for closing remarks.
Michael Florin: Well, thank you, Leila, and thank you all for participating. Have a wonderful day, and we will talk to you soon. Take care.